Operator:
Unidentified Company Representative: Hello, everyone, and welcome to Spok Holdings' third quarter 2022 earnings call. I am joined by Vince Kelly, Chief Executive Officer; Mike Wallace, President of Spok Inc. and Chief Operating Officer; and Calvin Rice, Chief Financial Officer. I want to remind everyone that today's conference call may include forward-looking statements that are subject to risks and uncertainties relating to Spok's future financial and business performance. Such statements may include estimates of revenue, expenses and income, as well as other predictive statements or plans which are dependent on future events or conditions. These statements represent the company's estimates only on the date of this conference call and are not intended to give any assurance as to actual future results. Spok's actual results could differ materially from those anticipated in these forward-looking statements. Although these statements are based upon assumptions that the company believes to be reasonable, they are subject to risks and uncertainties. Please review the Risk Factors section relating to our operations and the business environment, which are contained in our third quarter 2022 Form 10-Q and related documents with the Securities and Exchange Commission. Please note that Spok assumes no obligation to update any forward-looking statements from past or present filings and conference calls. With that, I'll turn the call over to Vince.
Vince Kelly: Thank you, and good morning, everyone. And thank you for joining us for our third quarter 2022 earnings call. Today, we'll share with you an update on how our strategic business plan is progressing, as well as our financial results for the quarter. I'll start by reviewing the agenda for today's call. The order will be as follows; we will begin by providing a corporate and strategic overview of Spok, including an update on our strategic business plan. Then we'll cover our third quarter and year-to-date 2022 as well as year-to-date pro forma results. Next, we'll cover our updated guidance for 2022, as well as review one-time restructuring costs related to our strategic pivot. And finally, we'll wrap up and take your questions. To begin, I want to provide an updated corporate and strategic overview of Spok. Smarter, faster clinical communication is more important today than ever before. Today, I will share with you how Spok, with our combination of software and wireless products, delivers smarter, faster clinical communications across our customer base, and especially in the hospital setting where time and delivery consistency is critical to patient outcomes. For those of you who are new to the Spok story, Spok was formed in 2004 through the combination of Metrocall and Arch Wireless. The company was renamed to USA Mobility and adopted a free cash flow business and rightsizing strategy designed to harvest and distribute cash to shareholders, mitigate subscriber erosion and focus on our core healthcare sector. In 2011, USA Mobility acquired Amcom Software in order to provide a future platform for growth, arrest the erosion of our top line, and mitigate our paging churn in the healthcare market. These two integrated service lines were rebranded, in 2014, as the business of Spok that you know today. On February 17, 2022, we announced our strategic business plan pivot to prioritize maximization of free cash flow with the goal of returning capital to shareholders. Our focus on return of capital includes distributing our annual free cash flow, which will fund the majority of our dividend distributions going forward, supplemented by cash on our balance sheet. We rightsized the company by streamlining management and employee headcount, and pivoting the way from our Spok Go product to focusing on cash flow generation and stabilizing revenue in our core Care Connect Suite and wireless services lines. Spok has an excellent track record of driving revenue and cash flow from these business lines and enjoys a significant market leadership position in narrowband personal communication services and hospital call center software. Since the strategic pivot, in February, morale has been high, and Spok has seen a significant improvement in virtually all areas, including sales, product development, and overall execution. Over the past three quarters, Spok has generated $16.9 million of pro forma free cash flow, and has returned $18.8 million in cumulative capital to shareholders since the implementation of the strategic business plan. Again, as I noted previously, Spok has an excellent track record of driving revenue and cash flow from our business lines, and enjoys the market leadership position in hospital call center software solutions and narrowband personal communications wireless services. We have over 2,200 healthcare organizations as customers, representing the who's who of hospitals in United States. We have built our solutions over many years, and have long-standing, valuable customer relationships. We honor and respect our customers' service in providing world-class healthcare, and we value our place in their communications ecosystem. The overwhelming majority, or over 80% of our revenue, is recurring in nature. And we are a company with no debt, which provides us significant flexibility. We continue to remain focused on investing in and enhancing our integrated Care Connect solution suite in order to continue our long-standing relationships with the nation's leading healthcare providers. We believe these attributes, combined with our experienced, dedicated, and committed employee base are what will allow us to generate significant cash flow into the future, and return capital to our shareholders. Spok's solutions for critical communications provide a vital service for our trusted customers, which includes 18 of the top 20 adult hospital, and all 10 children's hospitals name to the U.S. News and World Report 2022-2023 Best Hospitals Honor Roll. In fact, over the past decade nearly every hospital named on the U.S. News and World Report Best Hospital Honor Roll has used Spok's clinical communication solutions. Our market focus has evolved over the past 10 years to center on solving critical communications challenges that help hospitals and health systems improve patient outcomes. While our focus has continued to grow in healthcare, now presenting approximately 85% of our total revenue, we also continue to serve hospitality and government accounts supporting public safety and large agencies. Spok currently has over 1,600 total customers with our products being used at over 2,200 hospital locations. 50% of these customers are wireless-only, 29% are software-only, and 21% use both software and wireless. For our software-only market share by bed size, we currently have 287 or 5% of hospitals with one to 199 beds, we have 388 customers or 30% of the market for hospitals with 200 to 599 beds, and we currently have 156 customers or 50% of the market for hospitals with 600 beds or more. And although we have a dominant market share of large hospitals with 600 beds or more, we are currently working on new and innovative ways to serve small midsized hospitals with a hosted model from our Plano data center. The Spok Care Connect platform is composed of three primary solutions which drive our value proposition up, improving patient outcomes by connecting clinical teams with the people and information they need when and where it matters most. First, with respect to patient customer relationship management, our contact center consoles enable agents to connect staff and external callers in a fast, reliable, and professional manner, providing best-in-class service to care teams, patients, and their families. They're able to do this with the hospital contact center or while working from home. Contact center agents are not only key to bolstering a hospital's reputation in a competitive market, but also to directly assist in patient care by launching critical codes, and providing physician answering services. Operators can also devote more time to customer service by offloading a portion of routine calls, such as simple transfers or internal calls with intuitive voice recognition technology. Second, efficient clinical workflows help drive the complex work of care teams, and Spok Care Connect helps care teams streamline them through smart alarm management and notification systems. These systems provide full clinical context for alerts, alarms, and other important notifications, and also can suppress nuisance alarms to prevent unnecessary interruptions. Finally, patient-focused care team collaboration provide secure mobile and web messaging for fast and reliable care team communication. A web-based enterprise-wide directory that can be accessed and updated by all roles and departments in real-time ensures everyone has a single source of truth for contact details, preferences, and scheduling. That way everyone can be assured that they are dealing the most current, accurate information when they are making decisions about patients' care. Now, we deliver this value through three distinct console platforms that serve different aspects of the hospital space. First, our Smart Suite Console is best suited for organizations with very complex workflows, such as academic medical centers and large IDNs or integrated delivery networks. Second, our Spok Console accommodates healthcare facilities needing basic functionality, such as smaller community hospitals. And finally, our MediCall platform is a match for healthcare customers who require more advanced functionality, do not have the complexities of large IDNs. And depending on the specific needs of the customer, Spok offers several other products which work seamlessly with our consoles. They include alerting products such as Messenger, with its hundreds of systems integrations, our on-call scheduling solution, emergency notification software through e.Notify, speech recognition software through our Speech product, computer telephony integration with CTI, a core strength of Spok, and finally secure messaging through Spok Mobile. These products coupled with our centralized enterprise directory allow customers to streamline communications processes and ensure information gets to the right person or role quickly. So, what exactly separates Spok Care Connect from our competitors? Spok Care Connect is an integrated platform that has been purpose-built from the ground up. We do not rely on partnerships or acquisitions to do what we do. We offer extensive interoperability with the ability to connect to more than 300 hospital systems, including all the HR vendors through industry standards. Spok Care Connect is built around the enterprise directory, the single source of truth for all communication that empowers staff members to access and update contact details and schedules in real-time. We are proud to be device-agnostic. No matter which mobile device or part of our customers' device mix, we will support their decision on the right device for the right role with the power of Spok Care Connect behind it. And lastly, in the world we all live in security is critical. We maintain a robust cyber security program designed to identify risks, protect against attacks, detect adverse effects, and respond and recover from attacks. Spok also operates the largest nationwide paging network for one-way and two-way paging, which represents our wireless business. We offer multiple nationwide frequencies and process of a 100 million messages a month. This includes paging as part of a full critical communication platform with leading edge software. And we've recently brought a new paging device to market, our GenA pager, which continues to create great interest from our customer base and grow each quarter, providing a higher ARPU, or average revenue per unit, adding to the stability of our wireless revenue stream. So, why do healthcare organizations still value our pagers? Our pagers can compliment secure messaging when you have staff who do not need a smartphone to do their job or when you need additional technology to rely on during critical code or other time-sensitive events. We offer HIPAA-compliant encrypted pagers, like our new GenA pager. Our pagers are tried and true and cost-effective to ensure communications from code calls and disaster scenarios. And then due to the simulcast and high-power nature of our wireless networks, paging works during events when cell service can be offline or overloaded. We have a long history and track record of running this company for free cash flow and returning capital to shareholders. Since our creation, in 2004, Spok has returned over $640 million of our free cash flow to stockholders through a combination of dividends and share repurchases, and we will continue to do so. In total, Spok has generated close to $1 billion in cumulative free cash flow since our formation, back in 2004, and we're not even close to being done yet as you've seen from this year, and you will see going forward. So, why Spok? Here's just some of our attributes. Number one, Spok helps improve patient satisfaction in HCAHPS scores or Hospital Consumer Assessment of Healthcare Providers and Systems scores, which allows for objective comparisons of hospitals across a variety of metrics to inform healthcare consumers about the relative standard of care at each facility. Number two, we reduce alarm fatigue. Number three, we protect PHI or protected health information. Number four, better EHR or electronic health record integration. Number five, contact center consolidation. Number six, capacity management optimization. And number seven; we have the largest and most reliable paging network in the nation. Now, before we get into our third quarter of 2022 highlights, I'd like to remind everyone that we continue to remain committed to our mission of being the strategic partner of choice for enterprise-grade clinical communications in patient care coordination. This commitment has allowed Spok to create a significant market position with long-standing relationships with the nation's leading healthcare providers. Spok has a best-in-class paging network, currently the largest in the United States, which continues to generate strong results. Additionally, Spok continues to provide a valuable and critical service to our customers, delivering information to care teams when and where it matters most to improve patient outcomes. As previously discussed, our Spok Care Connect solutions provide a suite of products with potential for new license sales and a valuable maintenance stream. Maintenance continues to provide a foundation under our legacy software business, and it's important to maintain as we quickly transition to focus on cash flow generation. As reflected in our guidance, we are continuing to invest more in our legacy products as we progress through our strategic pivot. We believe this will drive future sales and upgrade opportunities, and improve our results going forward in this important business line, while generating cash flow on a go-forward basis. We have a world-class customer base and a large market share in healthcare contact center solutions, and we believe this represents a significant opportunity for the future. Spok continues to demonstrate a very predictable revenue base with over 80% of our revenue being recurring in nature, coming from either our legacy wireless offerings or software maintenance contracts. This gives us confidence we're not only on the right path forward for executing our strategic pivot, but also to maximize value for all shareholders. We believe that, going forward, we will return significant cash flow to our shareholders, and that our current stock valuation represents an attractive opportunity for share appreciation as well. Now, turning to our third quarter highlights, since the implementation of our strategic business plan, eight months ago, we have been operating a cash flow business model featuring our wireless service line in our Care Connect suite software solutions with the goal of returning capital to shareholders. I could not be more proud of our team, here at Spok, given what they've accomplished since the implementation in this plan as we continue to execute on our strategic pivot during the third quarter. This is evident in our result as we generated $2.9 million of GAAP net income and $4.7 million of adjusted EBITDA. As you'll hear from Mike in detail, with respect to our year-to-date pro forma results, we generated approximately $16.9 million in adjusted EBITDA, which is defined in the earnings release tables. This is our non-GAAP calculation of cash flow generated by the company before net working capital items in the three quarters of the year assuming we implemented our plan on January 1. Now, I want to be clear that while we're pleased with the, approximately, $16.9 million in pro forma adjusted EBITDA for the first three quarters of 2022, we continue to expect to cover approximately 80% of our $1.25 annual divided this year, which equates to approximately $20 million per year from adjusted EBITDA. As such, our fourth quarter pro forma adjusted EBITDA will be a bit lower than our run rate through the first three quarters. Capital expenditures are lumpy this year due to supply chain lead time. And while we did not receive a lot of pagers in the third quarter, we expect to make up for some of that in the fourth quarter such that year will still be consistent with our guidance on annual CapEx. That being said, we remain confident in our ability to deliver that $20 million level annually. We will share our improved 2023 outlook when we report fourth quarter results. We've also continued to deliver on our strategic objectives of driving revenue from our two service lines, and investing in a targeted and limited manner such that we can return capital to shareholders. The wireless service line of our business on average monthly revenue per unit increased to $7.40 or 1.5%, with units in service down only 3.4%. And our Care Connect suite of solutions continues to gain traction with third quarter software operations bookings increasing by 26% as we've continued to see positive momentum from previous quarters. We have also been able to increase year-to-date software operations bookings by 18% year-over-year, with 49 of these deals worth over six figures each. This is an exciting time for Spok, and our pipeline continues to grow. With that said, I'd like to remind everyone that it does take time for these bookings to complete implementation and show up in our revenue. But we believe this is a good leading indicator for the health of our business. Our expectations, reflected in our guidance, is to exceed our plan this year and continue making progress on cash flow generation and revenue stabilization in 2023, and beyond. This will take time, but we're progressing ahead of plan, and we expect to generate more cash this year than we anticipated when we announced the plan in the first quarter. And we expect to generate more cash next year than we do this year. As you know, when we announced our strategic business plan, in February, we increased our quarterly dividend payment by 150%, from $0.125 per share to $0.3125 per share. We're returning $1.25 per share this year in dividends to our shareholders. We're over three-fourths of the way there. Since the implementation of the plan in February, $18.8 million in cumulative capital has now been returned to Spok stockholders. This return of capital includes distributing our annual cash flow which will continue to fund the majority of our dividend distribution going forward, supplemented by cash on our balance sheet. Our expectation over time is we will continue to grow our annual cash flow, and eventually cover our dividend. As always, the declaration and payment of future dividends is subject to the Board's discretion and will depend on financial and legal requirements and other considerations. Fiscal year 2022 has and continues to be a transition year for Spok given the implementation time required to execute and operationalize our strategic shift to the cash flow-focused model. As we've previously mentioned, we continue to anticipate that this transition will be completed by the end of this year, with the majority of our rightsizing already behind us. As we move through this transition, we will continue to update shareholders on our progress. Okay, at this point, before we hear from our President and Chief Operating Officer, Mike Wallace, I'd like to recognize our new Chief Financial Officer, Calvin Rice. Calvin was recently promoted to CFO, in August, and has been with Spok for the past eight years, most recently as Chief Accounting Officer and Controller. Calvin is an extremely talented financial executive with deep knowledge of our operations and has made numerous contributions since joining Spok. He's available today for our Q&A session after our third quarter review. And with that said, I'd like to turn the call over to our President and Chief Operating Officer, Michael Wallace.
Mike Wallace: Thanks, Vince, and good morning, everyone. And before I begin, I as well would like to congratulate Calvin on his promotion and new role. With that, I would now like to take a few minutes and provide a recap of our third quarter and year-to-date 2022 financial performance, which we reported yesterday. I encourage you to review our 10-Q when filed, as it includes significantly more information bout our business operations and financial performance than we will cover on this call. For the third quarter of 2022, total GAAP revenue was $33.7 million, compared to revenue of $35.9 million in 2021. Revenue for the quarter consisted of wireless revenue of $19.1 million, which was down $500,000 or 3% from $19.6 million, and software revenue of $14.7 million down 9.4% from $16.2 million largely in line with our expectations. With respect to wireless revenue, third quarter 2022 performance was driven by a continued decline in pager unit churn on a year-over-year basis. Net pager decline during the trailing 12 months was 3.4%, another record low with units in service declining by only 29,000 units. As a result, wireless revenue for the third quarter remain solid, declining 3% compared to the prior year and in the range of our expectations. The monthly paging revenue component of wireless, which represents 97% of overall wireless revenue, declined by only 2.3% on a year-over-year basis. The remainder of wireless revenue relates to product sales primarily through lost pager fees, which are one-time in nature and far less impactful to the ongoing value of this business. On a year-to-date basis, wireless revenue declined by 5.1% compared to the prior year, and again in the range of our expectations, with monthly paging revenue component of wireless declining only 4.3% on a year-over-year basis. Turning to the third quarter software revenue, specifically maintenance revenue which is the largest component of our software revenue was $9.2 million versus $9.6 million in the same period of the prior year, or 4.8% lower. As we have discussed in previous quarterly calls and as we continue with this pivot with the focus being brought back to our Care Connect suite of software products, our expectation is for maintenance revenue to be down slightly on a year-over-year basis given gross churn and uplift levels remaining constant with prior quarters. Professional services revenue was $2.8 million versus $4.2 million in the third quarter of 2021. As we have stated in our earnings calls over the past two quarters related to our 2022 financial guidance, we assumed an intentional reduction in services revenue with planned reduction in personnel to better align with our current backlog and to drive a higher rate of net cash flow in alignment with the strategic shift in our business plan. And again, it's important to remember that services has not historically driven meaningful cash flow on a standalone basis, but has been viewed as an opportunity to expand our license footprint and customer engagement, as well as to fulfill upgrade obligations under our maintenance contracts which is critical in maintaining our existing customers. Lastly, license and hardware revenue was $2.7 million compared with $2.4 million in the same period of the prior year. On a year-to-date basis, total GAAP revenue was $101.3 million, compared to revenue of $107.6 million in 2021. Wireless revenue on a year-to-date basis was $56.6 million compared to $59.6 million reflecting net pager revenue churn in line with the trends seen in the third quarter. And year-to-date software revenue, of $44.7 million, compared to $48 million in the prior period. This was driven by maintenance revenue being down 3.6% on a year-over-year basis, professional services down 29% due to the intentional reduction in professional services resources to better align with backlog, and which was offset by higher license revenue of 39% driven by the strong software operations bookings during the year. Third quarter adjusted operating expenses, which excludes depreciation, amortization, and accretion of $800,000, and severance and restructuring costs of $1.5 million totaled $27.9 million in the third quarter, compared to $39.4 million in 2021. And on a year-to-date basis, adjusted operating expenses were approximately $95 million, compared to $114.7 million. As Vince mentioned earlier, the streamlining of employee and management headcount reduction is now substantially complete, and we are now in the final stages of paying the severance costs associated with our strategic business plan. Adjusted EBITDA, which is defined in our earnings release tables and represents EBITDA before stock-based compensation expense, impairment of intangible assets, effects of capitalized software development costs and including capital expenditures is our non-GAAP calculation of cash flow generated by the company before net working capital items. In the third quarter, adjusted EBITDA was a positive $4.7 million, compared with a negative $2.5 million in the same quarter of 2021, and reflects the progress made to date with our strategic pivot. On a year-to-date basis, our adjusted EBITDA was a positive $1.1 million, compared to a negative $4.5 million in 2021. Now, I'd like to discuss our pro forma year-to-date adjusted EBITDA results which exclude one-time costs related to the strategic pivot as well as costs related to operations under our prior strategy that will not be incurred going forward. Had the strategic changes been in effect as of January 1, 2022, our adjusted EBITDA would have been $15.8 million higher year-to-date. This $15.8 million includes severance and restructuring costs of approximately $5.7 million, costs related to personnel reductions of $7.4 million, and non-payroll Spok Go and other costs of approximately $2.7 million. Inclusive of these adjustments, our year-to-date adjusted EBITDA for the nine months ended September 30, 2022 would have been $16.9 million. However, it is important to note that adjusted EBITDA for the year-to-date period has benefited from the timing of our capital expenditures or CapEx, where purchases have been slowed by the effects of a tightening macro-level supply chain environment. Under normal circumstances, we would have expected our CapEx to be approximately $1 million higher for the year-to-date period. Additionally, the third quarter has benefited from the timing of certain expenses that we ultimately expect to be incurred during the fourth quarter. Given where we stand, with $16.9 million in pro forma adjusted EBITDA for the year-to-date period, I want to underscore that fact that we still expect to generate approximately 80% of our full-year dividend or approximately $20 million in adjusted EBITDA for the full-year, and this is reiterated in our updated guidance that I will walk through next. Turning to our guidance for full fiscal year 2022, as a reminder the figures I'm going to discuss today are included in our guidance table in the earnings release, and have been updated from those previously provided from the second quarter 2022 financial guidance and our previous earnings call in July. We now expect total revenue to be in the range of $131.5 million to $136 million, of which we expect wireless revenue to range between $74.5 million to $75.5 million. Software revenue is expected to range from $57 million to $60.5 million. We expect adjusted operating expenses for the full-year of 2022 to be in the range of $123 million to $125 million, and CapEx will be in the range of $3.2 million to $3.9 million, with the majority of CapEx related to our wireless business. These changes to our 2022 guidance serve to further narrow the ranges previously provided and slightly improve the midpoint compared with our original guidance. Now, turning to our forecast for restructuring costs for 2022, as you can see from the slide, we have increased our range for total restructuring costs from $6 million to $6.5 million from the second quarter, to our updated range of $7 million to $8 million. Breaking this down, we now expect severance and restructuring costs to be in the range of $5.7 million to $6.6 million, and contractual terminations to be in the range of $1.3 million to $1.4 million. There are two primary drivers that I would like to quickly expand upon to provide some additional insight for the increase. Each of the items surfaced through our ongoing planning and preparation for 2023, which will continue through the fourth quarter. Firstly, we identified additional employee severance costs we expect to incur during the fourth quarter which will result in lower ongoing payroll expense. Secondly, we accelerated approximately $700,000 of expense during the third quarter related to a satellite office space which we no longer use and do not anticipate extending the lease, which will lead to future savings. With that, I will now turn the call over to the operator for Q&A. Operator?
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Kyle Bauser with Lake Street Capital Markets. Please proceed with your question.
Kyle Bauser: Good morning. Thanks for taking the questions, and congrats on the great results and progress here. Maybe first, ARPU came in nicely, well above our estimate. Can you talk a little bit about the push-and-pull dynamics here, and what's influencing it? And I'm thinking about things like price increases and mix change by hospital size, and the next-gen version, et cetera.
Vince Kelly: Sure, Kyle, and thank you for your comments, much appreciate it. Calvin, why don't you take the overview question?
Calvin Rice: Sure, thanks, Vince. Hey, Kyle, good morning. Yes, so three primary factors on the ARPU front that want to point out. The first is USF, which is the Universal Service Fund, which is really just a pass-through tax, it's established at the direction of the FCC, it's updated every quarter, and it's pretty variable. And on that front, it can go up and it can go down. But as I mentioned, it's largely a pass-through. So, as it goes up or down you're going to see that impacting product cost as well from a cost standpoint in the same manner. Really a net-net wash when it comes down to the bottom line. That's going to be one of the biggest components that we've seen in that change in ARPU. Secondarily, we've got the GenA product which you mentioned. We're seeing great traction on that front. We get great feedback from all of the customers that we've introduced that to. But right now, it's still in its early stages, and we're really seeing a relatively minor impact on overall ARPU, although we are again really excited at that traction we've seen, especially over this last quarter. Thirdly, we've got the price increases, as you've mentioned. We did, on about a third of our customer base, put into effect a price increase on September 1. So, you're really only seeing a partial effect of that in the third quarter. We have another tranche of customers that we anticipate increasing prices on in Q4. And there's a smaller subset of customers that have longer-term contracts that we'll work with over as our contract renew. I do want to point out we're very sensitive to customer churn here, and we're just rolling this out in a very cautious manner. But we do anticipate, as we head into next year, really seeing the full impact of those price increases.
Vince Kelly: Good job, Calvin. Thank you.
Kyle Bauser: No, I appreciate that, that's great. And maybe second question, excluding the restructuring cost, you mentioned being on track to generate the $20 million in EBITDA on an annualized basis, and even more next year, which is excellent. And this is a little under the dividend payments, but the strong cash balance should support this for years to come as you kind of mentioned in the press release prepared remarks. Could you talk about some of the key levers that you're focusing on to drive margins further and close this gap?
Mike Wallace: Yes, hey, Kyle, it's Mike. I'm going to go ahead and take that question. Yes, a couple of things here. I think I'd start out from a cost perspective, kind of the easiest to discuss. I mean we've taken the majority of costs, as you would expect, out of the organization. Now, we will obviously continue to push that dynamic and take as much cost out of the company as possible. But really the biggest lever that we have as it relates to margin expansion is going to be on the top line, specifically with wireless through the dynamics that Calvin just walked you through. To the extent that we can slow down the erosion of our wireless revenue helps. And here's the thing, both on wireless and software, at the end of the day we get a lot of operating leverage to the extent that in the case of wireless we slow down erosion. And as we've talked about previously on the software side, we're looking to stabilize that revenue, and then ultimately grow it in the next several years. And like I said, there's a great deal of operating leverage because we have a fairly large fixed cost number already embedded in our business. So, a lot of that sort of top line benefit falls right to the bottom line. So, over the next several years, that dynamic is going to come from really what we're able to do on the top line.
Kyle Bauser: That's great, thanks for that. And kind of following up on that, how should we think about the additional restructuring costs going forward? You talked about it in the prepared remarks a little bit, but presumably we're through -- once we get through Q4 we should be past the majority of it. Is that correct? I guess any help here with modeling would be great.
Calvin Rice: Yes, hey, Kyle. This is Calvin; I can take that one as well. And you're absolutely right, once we get through Q4 those should largely be wrapped. And really from a modeling perspective, certainly there'll continue to be some of those costs sprinkled in, but they're going to be very minor in nature relative to kind of what we've seen over the last decade, and really related to the wireless business as we continue to optimize those costs in relation to their revenues.
Kyle Bauser: Okay, got it. And then two more quick ones here, it was great to see the strong bookings in the quarter. Would love if you could provide any additional color regarding the six-figure deals, size of the hospitals, were they new clients, product categories, et cetera?
Vince Kelly: Yes, Kyle, it's Vince, I'll take that one. And I think the best way is probably by way of some examples. But first, I mean, since we've announced the pivot our sales force is now 100% focused on kind of what they grew up with, what they had their longstanding relationships with, the solutions and the applications where we're still the dominant player in the market with respect to contact center solutions inside the hospital. So, they're operating in their sweet spot right now. And that's a good thing, and they're turning in really, really good numbers. We're also benefiting from the tailwinds of coming out of COVID. For two years during COVID, hospitals really didn't start any new projects, they didn't want to buy a whole lot of new stuff, and that's getting better. They're not 100% healthy financially and resource-wise, but it's getting a lot better. With respect to some of the deals we got this year, I mean, here's a couple examples of a couple really big ones, and then I'll give you a couple examples of some medium sized deals that were a result of cross-selling between our wireless and our software service lines. The first one is a $700,000 deal we got with a large hospital system in the Northwest. They bought our entire platform including our Console across entire enterprise. It's a multiyear deal. The total contract value across three years is about $1.5 million. But this deal will include $500,000 of software license upfront, including three years of maintenance and support and professional services as well. And so, a really good example of the value that I think a large health system finds on our software, and really expanding our software to other locations where they currently didn't have Spoke solutions and really expanding our footprint across their entire enterprise. And so it was a great win for our team. Another one we got was a $300,000 deal in Hawaii with another very large hospital system. They did not have an integrated healthcare-grade operator console; they relied on a bunch of old non-integrated end-of-life systems to support their critical communications. And they're going to implement our Spok Console to all their Hawaiian facilities to offer operational parity with what they have on the mainland, it's just an example. When customers like this invest in Spok it's really a testament to our ability to understand the needs and demonstrate a solution that really fits those needs. And it also shows that larger health systems in the world really continue to value our ability to deliver solutions as a trusted partner. An example -- a couple examples of two medium sized deals, one was $293,000, it was a new logo deal to a small medium-sized hospital, up in Massachusetts. And they're existing wireless customer with us, they didn't have any software. We've been working with them to cross-sell our Console solutions. They recognized they needed our solution for their organization. They used the funding from another area of the organization to bring our Console solution with our web application and on-call scheduling to them; successful deal and a great example of collaboration between our wireless and our software sales team. And similarly, we had small university medical center, in Texas, they did $127,000 new logo deal with us. They had been a longstanding wireless customer that did not have our software. We approached them with a cross-selling opportunity. They recognized what we could do for them, a lot of references. They bought the system for their adult hospital for $127,000 in the third quarter. And the good news is, in the fourth quarter, even though they're not big, they're going to buy another $100,000 from us for their children's hospital in November; so, good news, good examples. So these are the kind of things that we're doing, and we expect to do a lot more of these going forward.
Kyle Bauser: No, that's great. Thanks for those examples and great to hear that. I guess just lastly, curious, you mentioned a little bit, Vince, in the call, but how has the launch of GenA been going? I guess any client feedback or anything you can provide here, installed base numbers, et cetera?
Vince Kelly: Yes, I mean we're really excited about it. It's like Calvin said there, it's early days. I mean we think the feedback has been fabulous. We had our Connect conference a couple weeks ago, over 300 registrants. Some of the best feedback we got from that conference was on the GenA pager, and the piece that our CIO did with respect to talking about its benefits. We've more than doubled our units in service in the third quarter. And I think right now we're up to close to 6,000 units out there. They're getting a significantly higher ARPU than what our normal pagers get. But I want to caution you on that because we're still at a point where we're evaluating what the proper price for that product should be in the market because we want to balance a much higher ARPU with kind of volume and getting more units out in service. And we also have to time that with and coordinate that with some supply chain challenges that we've had in this past year that seem to be mitigating. I've mentioned in my comments that the CapEx has been lumpy on the paging side. Look, our CapEx is going to be right in the sweet spot of where we said our guidance would be this year, if the vendors can ship everything to us in the fourth quarter that they promised. And so, part of that's going to impact it too. We think GenA is a great future ARPU enhancer for our revenue line in wireless for us. As you know, it's exclusive to us; no one else can have it. It's something that we developed, it's got a kind of Paperwhite-type screen too, and so you can read it outside. It's just a much more modern user interface, and that helps us with the younger interns and medical professionals. So, we're really excited about it. It's going to breathe new wind into that wireless service line. That business is going to be around for a long time, it's going to throw us a lot of cash, and we're going to take that cash and give it back to our shareholders.
Kyle Bauser: Okay, well, hey, great update. Vince, Mike, Calvin, thanks for taking my questions.
Vince Kelly: Perfect.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of David Wright with Henry Investment Trust. Please proceed with your question.
David Wright: Yes, good morning. Thanks for taking my question. That was a really excellent management presentation, gave a great overview of the company. Made me wonder if Spok has any plans to kind of go out on the IR circuit to tell the story. Thanks.
Vince Kelly: Yes. Yes, we are. We're actually working with a couple of organizations right now to get much more aggressive in telling the story. I wanted to do that overview today just to kind of reintroduce us because it's been a couple of quarters since we announced our pivot. Things are going really well. As I said, morale is up, our customers are really happy with what we're doing and with the feedback on our business plan. So, agree that we need to get out there and tell the story more aggressively, get more analyst coverage. And it is at the top of our to-do list as soon as we finish this call today.
David Wright: Okay, well, good luck going forward.
Vince Kelly: Thank you very much.
Operator: Thank you. Our next question comes from the line of -- I'm sorry, it seems that we have no other questions at this time. I'll turn the floor back to Mr. Kelly for any final comments.
Vince Kelly: Okay, well, look, I want to thank everybody for joining us today. We really appreciate your support and your interest in Spok. We look forward to updating you again next quarter when we report and hopefully more good news from Spok coming down the pike. Everyone had a great day.